Operator: Good morning ladies and gentlemen, thank you for standing by. And welcome to IsoPlexis’ Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference may be recorded. I would now like to hand the conference over to your speaker host Carrie Mendivil. Please go ahead.
Carrie Mendivil: Thank you. Earlier today, IsoPlexis released financial results for the quarter ended June 30th, 2022. If you have not received this news release or if you'd like to be added to the company's distribution list, please send an e-mail to investors@isoplexis.com. Joining me today from IsoPlexis are Sean Mackay, Chief Executive Officer; and John Strahley, Chief Financial Officer. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section entitled Forward-Looking Statements in the press release IsoPlexis issued today. For a more complete list of description, please see the Risk Factors section of the company’s quarterly report in Form 10-K filed on March 30th, 2022 and in other filings with the Securities and Exchange Commission. Except as required by law, IsoPlexis disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events, or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast, August 10th, 2022. With that, I'd like to turn the call over to Sean.
Sean Mackay: Thanks Carrie. Good morning and thank you everyone for joining us for our second quarter 2022 earnings call. On today’s call, I will provide an update on some of the operational and commercial progress we've made to lay the foundation as a leader in the proteomics market with a profitable sustainable growth business. Then I will turn the call over to John for a closer look at our financial results and revised outlook for 2022. Our second quarter represented a turning point to streamlining and simplifying our business to create a foundation for leadership in the fast growing world for improved cell analysis and bulk targeted proteomic lab tools. We have now reduced our workforce by approximately 35% since the end of Q1 and ended the second quarter with an $18.5 million OpEx run rate. Revenue in the second quarter decreased 7% year-over-year to $4 million with a 52% gross margin. Our trailing 12 months revenue was $18.7 million with a 51% gross margin. The revenue impact in Q2 was driven by a combination of international macroeconomic realities in the previously announced IsoPlexis Reduction in Force, i.e. the RIF, driven by our shift to more profitable operations around the whole organization. In particular, we were affected by one, the China lockdown; two, overall economic slowness and inflationary challenges in Europe; and three, our own reorganization and RIF executed in Q2. To be clear, with the risks, we retain the core innovation and growth assets embedded in the IsoPlexis' culture, which I'll speak about with our lab empowering CodePlex solution. We see these macro-oriented realities persisting in 2022. Across many pipeline indicators, we also believe the market-driven depth is temporal and not reflective of the high need that we need. As we cross the threshold to our 254th unit with our highly affordable personalized lab system in the benchtop 18 inch footprint IsoSpark, we're also crossing the threshold to more mainstream land and expand usage across organizations. Our lab tools empower labs with effortless automation. We are easy to use hardware and software to the cells and proteome that drive the biologic and immune-based therapeutics that are changing biotech, pharma, medical centers, and overall human health. The value of our accessible proteomics and cellular analysis instrumentation tools are beginning to provide critical, affordable lab infrastructure, supporting this need for many years to come. Our RIF did provide a temporary disruption to the company as involved people navigating new positions with around 35% less staff details of which John will speak to later. This caused slowness for the first month and a half in the quarter. Yet our new operating structure is now better equipped to drive healthy, more profitable growth into the future on top of conserving cash at this critical time in the capital markets. We are focused on three core initiatives as we streamline our organizational structure, and we are flexible enough at this stage of the company's lifecycle to make a rapid impact in these areas. One, process optimization in the commercial arena, driving commercial sales productivity towards more profitable activities that are suited to selling higher volumes of accessible price point small footprint proteomic instruments built for any mainstream lab with a commercial group fit for purpose size wise, and according to skill set. Two, process optimization in the operational arena. Driving to a higher consumable gross margin in the 70% plus range in the near-term, which we're implementing now, we'll begin to see in progress towards in Q1 2023. Three, simplification and optimization in development. We've simplified our broader portfolio to focus on a product we believe deeply in, CodePlex, a high margin high need economic cell with a clear differentiation in both proteomics. It's made for this moment in time and we'll also release this in Q1 2023. Keep in mind this CodePlex product also runs off our existing instrument with the IsoSpark, providing easy small footprint access to any lab. To focus and simplify, we will also deemphasize duomic in the beginning of 2023 despite fantastic data until we establish our bulk proteomics foothold in the market. CodePlex has a clear need in a large end market today via voice of customer interviews, where duomic in the wider multiomic spatial market, complexity, and volume of new instruments on that market make the immediate timeframe for duomic less attractive. In actualizing, these three core initiatives, we achieved financial flexibility as our topline becomes higher margin base, our OpEx structure makes profit centers out of our three core business areas, instruments, consumables, and services. And we come out with a suite of products that truly act as critical lab infrastructure at a moment in time that requires a shift to more effortless proteomic data. Focusing on the commercial aspect of our organizational change with the right behaviors on instrument sales, we see proteomics end markets strong with expansion in blue chip biotech pharma-driven customer base in Q2. We sold 20 instruments in Q2, bringing our total instruments to 254. We are making progress with the biopharma end market with several repeat purchases from these customers in the second quarter as well. 35% of the unit sold in Q2 were to existing customers and more than a fourth of total instrument purchases today are from customers who have bought multiple instruments. We also now have instruments placed in more than 75% of U.S. comprehensive cancer centers. To drive profitable instrument sales behavior, we've mapped the value stream to our customers and begun to eliminate unneeded and costly activities to drive efficiencies. Process improvements include stage-gated sales monitoring and strengthening of our early stage pipeline through daily management have clarified funnel-based metrics. Additionally, we have enabled a pipeline in which our sales operations team is feeding the most probable leads into our salesforce was historically close these instrument opportunities over a four to five-month sales cycle. Additionally, we are optimizing the process to drive consumable usage as our installed base scales, leveraging daily management of our train field application scientists team to drive customer engagement. Finally, a leaner field service team will drive greater usage of service contracts to build an important longer term annuity and recurring revenue based off of our installed instruments. Moving on to manufacturing operations, we're in the midst of a process to have a leaner more integrated organization to increase operational productivity and importantly, realize gains in consumable gross margin to drive us to the mid 70% range in the near-term and later to the 80 plus percentile range. The main focus to accomplish this is by optimization taking the better part of the year, namely reagent conservation. One of the benefits of our microfluidic technologies is reagent conservation in manufacturing and during usage on the instrument while maintaining quality and we're just realizing this potential through our dedicated operational team. Secondly, we're maturing a consumer global supply chain by expanding our number of reagent partners across the board, resulting in a more competitive lower cost structure. Moving on to development, we simplified our focus from several initiatives to one suite of high value products for early 2023 launch. We are very focused on becoming critical lab infrastructure with higher unmet need for effortlessly automated bulk benchtop proteomics with our novel CodePlex product suite. We believe this to be a blockbuster product for the bulk proteomics and market with near-term mass market potential. The product has significant sales potential because of; one, effortless automation, onboarding users quickly and maximizing high value lab resources saving significant labor costs in labor-constrained immune therapy markets. Two, excellent [indiscernible] consistency. Confidence to move quickly to the next step with each sample in low CV triplicate at a higher throughput. And three, improved lab economics, ability to run triplicate assays and high throughput at a fraction of status quo costs. With our cellular analysis products, i.e. single cell proteomics, we're focused on continuing the march as a new behavioral dimension to each cell type analyze on the 40,000 flow cytometer is in existence today. The unique cell functional behavioral dimension that we add to the cell types or phenotypes captured on flow cytometry, continue to prove high utility labs and predictable response relative flow cytometry. We're focused on multiple metrics to expand our use cases that include publications, panels, phenotypes, all on the affordable IsoSpark system. We've got a slew of publications in cancer immunology and cell therapy across cell types within our cell library. With multiple major medicine and cell papers back to back, utility of our cell behavior definitions of a wide array of immune cells is becoming clear. We've expanded the functional phenotypes within our cell library. And with that, we've also expanded more panels to run those cell types. Secondly, as our IsoSpark continues to proliferate at a faster rate than our IsoLight, it is clear to us that the low price point in the system relative to flow cytometers is going to be critical to penetrating the broader flow market in driving further consumable utilization. The software also does not require technicians, which is a large benefit as we start approaching more mass market cell analysis customers. Last, we're evaluating early data on our system, which expands surface markers per cell, making your product more attractive within the traditional flow market. We'll have more to discuss on this part of the pipeline in the future. Our pipeline bulk proteomics products as a point of focus for Q1 2023 release become an important part of IsoPlexis' future as critical lab infrastructure. For targeted bulk proteomics, we are excited about our new CodePlex product, which we are now planning to launch in early 2023. As we work to simplify our business and concentrate on the most relevant solutions sought after today, CodePlex is important because we see this product as critical lab infrastructure around the entire proteomics universe. We estimate there roughly 20,000 labs doing some degree of multiplex proteomic work, it will be accelerated with our effortlessly automated solution. CodePlex empowers labs who need access to the proteome, yet have difficulty with the workflow and economics of the systems today. For the first time highly multiplexed data will come to market with effortless automation, eliminating a tremendous amount of labor costs for biopharma and biotech, and eventually medical centers. We believe CodePlex will form the backbone of many labs daily proteomic work in the foundation for our products in the coming years. We've moved single cell multiomics, and behind CodePlex in priority based on the market opportunity. First of all, we have released encouraging duomic data in multiple conferences to provide entirely new biology connecting our unique functional proteomic output of the cell and the cell behavior metrics to gene expression. We're confident that duomic will bring significant value to the market and our team worked hard in integrating various omics technologies to make the system work. However, as we discuss the complexity facing customers in the coming months for multiomics, and spatial multiomic offerings, make this market less near-term attractive for our company. We believe this incredible new biology is better slated to come out after CodePlex likely later in 2023 as a service. IsoPlexis is on a path to empower a wide range of mainstream labs delivers the cells in the proteome they need to change the course of human health. The advantages are IsoCode offers, i.e. a new dimension of cell behavior for every phenotype defined by flow cytometry, provides us a meaningful entry point to 40,000 labs. And the advantage of CodePlex's effortless automation offers to roughly 20,000 both proteomic labs creates an additional large opportunity next year. We have put ourselves on a path with differentiated technology advantages in two large markets to have a strong growth lab tools business with a high margin profile in the foreseeable future. Our team continues to make significant progress as we simplify our business to create a more profitable growth profile in single cell and bulk proteomics in the coming years. I will now turn the call over to John for more detail on our financials.
John Strahley: Thanks Sean. Total revenue for the second quarter of 2022 was $4 million, down 7% from $4.3 million in the prior year period. As Sean mentioned, our revenue in the quarter was impacted by a few external and internal factors. First, with China, continued lockdown and shutdowns were in effect for nearly 80% of the quarter. Continued restrictions will likely have an impact on lab usage and instrument purchasing in broader APAC through the end of 2022. Additionally, the impact of lingering supply chain headwinds affecting customers, inflationary pressures and economic slowness in Europe and elsewhere impacted our ability to effectively sell our instruments in the region. These elements are manifested in longer purchasing cycles in Europe. Second, while it's proving to be effective, our Q1 reorganization and efforts to drive operational efficiencies have taken time to execute and process. While we are already realizing organizational productivity benefits and have substantially decreased quarterly cash usage for operating expenditures, the human impact of the RIF did take our team a month and a half or so to adjust to. We are focused on our offense plan and believe this will create long term durable value. Product revenue was $3.3 million, a 19% decrease compared to $4.1 million in the prior year quarter. Our commercial team sold 20 instruments in the second quarter, which brings the total number of instruments sold to 254 since our commercial launch. Service revenue for the second quarter was $682,000 compared to $200,000 for the prior year quarter, driven primarily by an increase in collaboration business this quarter. Gross profit for the second quarter of 2022 was $2.1 million compared to $2.3 million in the same period of 2021. Gross margin was 52% in the second quarter compared to 53% in the second quarter of 2021. Gross margin expansion is one of the key elements of our long term growth plan and provides financial flexibility by increasing gross profit dollars realized on recurring sales. As Sean mentioned in his comments, a lot of work has already been accomplished to reduce production costs and diversify the supplier base of our consumable business. As we continue to leverage the installed instrument base and prove out the razor blade part of our business model, with consumables contributing an increasingly higher percentage of our total revenue, we expect our total gross margin to reach the mid 60% range in the near-term and eventually settling into the mid 70% range. Excluding $3.7 million of restructuring charges taken in April, operating expenses for the second quarter of 2022 were $22.8 million compared to $20.6 million in the second quarter of 2021, and importantly represents a significant decrease from the $30.7 million last quarter. R&D expense was $7.1 million, an increase of $1.6 million over the prior year and SG&A expense was $15.7 million, an increase of $0.6 million over the prior year period. We ended the second quarter with an $18.5 million total quarterly OpEx run rate. As discussed on our last earnings call, we expect quarterly OpEx to be about $17 million by the end of this year as we continue to identify opportunities to achieve additional efficiencies across departments. Importantly, of our total Q2 operating expenses, approximately $2.5 million were non-cash, primarily consisting of depreciation and amortization and stock-based compensation. We are on track to meet our end of year OpEx goals. Our efforts to-date have focused on four major themes that have contributed to the significant OpEx reduction we have achieved. First, a focus on projects that will generate the most financial benefits of the company over the next couple of years, which led to the April reduction in workforce. Second, a continuous process to reduce the need for third-party professional services. The investments we've made to hire and train our core teams over the last couple of years has allowed us to provide more services internally as our teams mature and reduce the need for outside consultants. Third, a concerted effort to reduce internal material consumption as our manufacturing and quality control teams continue to find efficient ways to operate in generate higher gross margin. Finally, a reduction in support services no longer needed as our staff levels have been reduced in areas such as software licenses and other expenses indirectly related to organizational headcount. As Sean described, we're focused on a continuous process to assess business activities and reduce costs and inefficiencies across the organization. Following our reorganization in April, we are continuing to identify efficiencies to further reduce operating expense and leverage our existing infrastructure. These actions will ensure we maintain a cash runway into mid-2024 and improve our financial profile on a path to profitability quarter-after-quarter. This includes our modified topline guidance we reported this morning. We continue to expect our operating expenses to be around $17 million recorded by year end bringing our full 2022 operating expense, excluding restructuring charges to be in the $90 million range and which includes approximately $9 million of non-cash expense for depreciation and amortization and stock-based compensation. Our net loss was $25.6 million for the second quarter of 2022 compared to $20.6 million in the second quarter of 2021. We ended the quarter with $71.6 million in cash on the balance sheet. In June, we pulled the remaining $7.5 million available to us in our existing credit agreement. We believe that the cash we have on hand now, coupled with our continuing strategic initiatives, extends our cash runway into mid-2024. Turning to our revenue outlook for the full year 2022, we now expect revenue for the year to grow by at least 20% over 2021, which is $20.7 million. We remain confident and excited about our future in outlook. Nothing has changed with our end markets and our fundamentals remain strong. Our organization has made us a leaner more efficient company, which will allow us to continue to deliver high impact products and services, driving topline growth, and managing expenses to provide a more clear path to profitability. At this point, I would like to turn the call back to Sean for closing comments.
Sean Mackay: Thanks John. This quarter, we have been focused on our three main initiatives I spoke of earlier. Our mission to empower labs with our cellular and proteomic solutions requires us to continue to execute these initiatives as we evolve the culture of innovation that is applied to this. We have strong conviction in our prospects in the coming years and are seeing their uniquely accessible products fit the time we're in. Labs need easier access and lower economic costs to accelerate powerful medicines and we are confident that our team and product suite will create a great deal of value for our customers, stakeholders, and the broader life sciences field. With that, we will now open it up to questions.
Operator: Thank you. [Operator Instructions] And our first question coming from the line of Vijay Kumar from Evercore. Your lines is open.
Vijay Kumar: Hey, guys. Thanks for taking my question. Sean, maybe -- just on the Q itself, so revenues were year-on-year, you did say China, macro-challenges, what was the China lockdown impact? What percentage of your revenues are from China? It does feel like ex-China, perhaps growth slowed down. So, maybe just break out China versus non-China? And what's happening in U.S. and Europe with our customer activity?
Sean Mackay: That sounds good, Vijay. So, a couple of things. What I'm going to do is I'm going to break down where the revenue sort of deceleration came from. I'll also talk about -- like I'll start with just generalized you spoke of the growth and where is the growth, I think, you got to take a step back a little bit and think about the lab opportunity ahead both with this sort of IsoCode and CodePlex product suite. From our perspective or our vantage point, we see the IsoCode is offering this new dimension in cell behavior to -- with a meaningful entry point with an accessible price point system to about 40,000 cytometry labs, right? The new CodePlex system for early next year offers effortless automation to about 20,000 bulk proteomics labs, which does create a large opportunity for us in which what we're starting to see is a very labor-constrained biotech and pharma market. So, as far as the opportunity goes, we put ourselves in the unique position on a path with differentiated technology advantages in two large markets to have what we see as $100 million business opportunity with a high margin profile that John will speak to, in the foreseeable future. And our management team really has strong conviction in our ability to capitalize on that market. Now, speaking specifically to Q2 on revenue, it really was -- China and Europe were due to the macroeconomic realities. And the U.S. was actually more due to the reduction in force that we had for about 35% -- reducing force about 35% of the organization. So, within the China lockdown, it was just difficult to get the customers, right. Our team was actually in their apartments, unable to get to customers, the usage based on our having our Shanghai headquarters out there, the usage was just very low. And so that was impacted. I think our European challenge was roughly similar to some other growth players in the space just based on what we see as economic slowness, a slower procurement process, et cetera. U.S., we still experience -- like, I think we talked a little bit about a good deal of pharma purchases and repurchases. About 35% of our instruments were purchases from the same customers this quarter. But for about a month and a half, people were getting used to their new roles. And from our perspective, this sort of dip in Q2 is a temporal dip in nature. There's going to be some persistent we think international headwinds; which John speak to -- and John alluded to in the guide. But we do see our team as gaining footing. We do have 120 people on the commercial team executing. The final thing I'll say is when you think of the -- you really have to look at our respective companies in our space in terms of the business opportunity. And the unique business opportunity we have is around a growth company, we revise our guide to 20% growth per year, right. But also, it's a lab tools profile that I think is really attractive and that one, we can drive commercial productivity with a small benchtop instrument to drive land and expand, which we're already seeing and I alluded to, again, on a smaller number, but the 35% sort of repurchase in Q2. I think the consumable gross margin improvements are going to be incredibly important as we sort of get some more of that razor blade segment of our revenue. And finally just OpEx efficiencies and simplifying the pipeline to CodePlex is also a big part of us sort of achieving that more profitable profile next year. I do want to -- just one -- you asked for more details on the revenue. I'll pass it to John just for a little more detail in revenue and OpEx just so you have it.
John Strahley: Yes, Vijay, just so -- given the Q, obviously, we took down that the guide, which you saw this morning. So, just a couple quick things on sort of how we view the balance of 2022 on the revenue, and then a couple of comments on the OpEx. So, we did update the revenue this morning their guide, so we're looking at 20% year-over-year -- at least 20% year-over-year growth, that'd be $20.7 million. And we get there. We anticipate 110 total instrument sales for 2020. We also expect a stronger second half in consumables versus the first half of 2022. And that still our full year 2022 year-over-year total consumable revenue growth to exceed 40% over last year and that translates to about a $32,000 pull through. And just thinking about Q3 and Q4, we think that second half revenue guide will come in around 40% in Q3, and 60% in Q4. And just real quickly on the OpEx, we've made a lot of progress to reduce the OpEx in the quarter. And on a non-GAAP basis, our operating expenses net of the restructuring charges declined 26% or $7.9 million in the quarter versus the first quarter. We're still working diligently on that. And we would expect to tracking our guides. We ended the quarter around an $18.5 million OpEx run rate, and we expect to be at or below $17 million OpEx quarterly run rate by the end of this year.
Vijay Kumar: Just on the guide. John, you said 40% of the back half implied revenues are expected in 3Q. So that implies a 12% year-on-year growth. And that steps up materially in Q4 to 27. Any lingering 2Q issues that you're assuming slip sort of 3Q, just talk what the cadence here 3Q versus Q4 growth?
John Strahley: Yes. Nothing different than what Sean described, I think, what we're just seeing very cognizant of the persistence of what sort of we saw in the second quarter. I think with every passing day, we're just moving past our risk from early April and getting better up to speed and improving the cadence overall, so we'll see that improvement. China in the lockdown continues to be sort of a tenuous situation. So that's really what we see, Vijay, the pipelines, we continue to gain visibility over the back half of this year. But that's our best assessment at the moment of how we see the second half Q3 and Q4 revenue.
Vijay Kumar: Understood. And then one on gross margins, I think I heard a 70% number. Is that a 70% target for Q1 of 2023? Are you referring to consumable gross margins overall company gross margins?
Sean Mackay : That number was a consumable gross margin number. And what we're saying is, I think, John talked about goals to get to 60% margins next year, and then into the 70% total range. The point of us saying, Vijay, 70% is to say that the -- as our business becomes in the majority, the razor blade mainly reagent conservation and sort of learning what we actually need from the entire technology stack of the reagents going into our chip. We're actually on the path. We're implementing it now. But you should see those consumable gross margins in the 70s next year, but the total -- because still our instrument, we're not going to accelerate from the low 50s up to the 70 mark, the total mix will be in the 60 range next year.
Vijay Kumar: Got it. Thanks, guys.
Sean Mackay : Thanks, Vijay.
John Strahley : Thanks, Vijay.
Operator: Thank you. And our next question coming from the line of Max Masucci from Cowen. Your line is open.
Max Masucci : Hey, thanks for taking the questions, guys. John, just to follow-up on the gross margin target. Related to that, I think it was near term gross margin target in the mid-60s range. Is that a target that, you're looking ahead as you exit 2022? Or is that more of a call it you mid-2023 target?
John Strahley: Yes, the ladder, Max more of a mid-2023. And I think Sean just was describing, driven by the consumables. So we get that in the near term up to the 70% range that will drive our total gross margin into that 60% range. We would expect modest but incremental improvement over the gross margin over the balance of this year. We'll really start to see some of the benefits, we think beginning in Q1 of 2023.
Max Masucci : Okay, great. And just a follow-up John, and then I have one for Sean. So I mean, it sounds like the ramping consumables margins, which I think are sort of marching towards that 70% gross margin level will start moving the needle starting in the first quarter of next year. It would just be great to hear, how much of the gross margin increases that we do see at the beginning of 2023 are attributable to CodePlex launch versus volume leverage with IsoCode and if there's any meaningful difference in the gross margins for those two products?
John Strahley : So what I'll say is, it's -- when you think about the CodePlex product, it's likely to be a higher margin product. We're not going to see the impact of the mix probably until Q3 or Q4 of next year, the CodePlex product itself is, if you think about, think about it on a per sample per well basis, it's more like you're doing on an IsoSpark you're doing something like, 80 wells or 80 samples per run in triplicate. So it's, on a price point basis on a margin basis, yes, it's a slightly higher margin product that I suppose but I just actually wouldn't expect the debt to be seen until the mix becomes greater into the CodePlex launch cycle. Does that make sense?
Max Masucci : Yes, absolutely. And then just one on placements, as shown in the slide deck, 165 placements, immune monitoring labs 89 to cell therapy companies, or researchers. So I was just curious, how is the growth in placements to cell therapy customers compared to placement growth, to immune profiling labs, and then just similarly, if there's been any major difference in the consumable ramp that you've seen for cell therapy customers versus immune profiling labs that'd be great?
Sean Mackay: Yes, well, I think on the cell therapy side, what's interesting is our product profile, in this has come release of, more, phenotypes or cell types, more panels, more publications. But it's expanded to a little bit wider view of the cell therapy market, meaning that, we're doing, we have these NK cell chips, we're doing a lot more NK cell work or iPSC-derived NK cells. We're doing a lot, we published a lot more in like TCR T to combine with CAR T, we published I believe the first quarter was sometime in the last three, six months with some gene edited cell therapy work as well as our genetic cell therapy work. So we're broadening in that area. I think, from a pipeline perspective, we see that product analysis, it continues to be really important for a wider and wider array of people, whether they're biotech, biopharma, or academic medical centers pursuing cell therapy. So we see that is still a significant growth area, despite sort of biotech capital markets as far as the capital markets goes, I'd say, for immune monitoring, I mean, what was pretty exciting and immune monitoring is just in the last 12 months or so we've had, two Nature Medicine papers, in the last period of time, we've had two cell papers, and a lot of them, JCO, et cetera. But a lot of them said, point to a couple of things, when you're immune monitoring, which is very different than our cell therapy, sort of pre-infusion product analysis, when you're immune monitoring patients, which is this, the largest area of sales for flow cytometry, are sort of new dimension of cell behavior, this functionality that you're getting for every cell phenotype is showing itself to be, predictive relative to flow cytometry. And then we're seeing that in checkpoint inhibitor therapies, when you're doing clinical trials. You're seeing this in -- in the cell papers in, looking at the sort of eight cell compartments, different types of immune cells in terms of showing early signs of both inflammation that sort of lends itself to people that are going into the ICU. So I would say, we're -- that's a market where, the continued publication leadership and major clinical trials being published with our platform showing differentiation helps in Q4, especially where, biopharma is the biggest purchaser of our immune virus monitoring systems. And we think that's an important and resilient market headed into the next few years.
Max Masucci : Yes. Maybe if I could just sneak one more quick one in, I mean, I think we saw 40,000 system flow cytometry has placed I think it says, in the deck 20,000 system, TAM for platforms that can be running CodePlex. I mean, do you see any opportunities to strike of commercial partnership with the flow cytometry companies, if you do see the majority of, CodePlex users sort of using that those applications in tandem alongside a flow cytometer?
Sean Mackay: Yes, no, I mean, I think it's a very complimentary sort of sale. I do. We've had over time co-marketing partnerships with other groups in the cell analysis. It's a very complimentary sort of sale, I do. We've had over time co-marketing partnerships with other groups in the cell analysis business, whether it's sort of a -- we've had a couple co-marketing partnerships with groups that do cell, cell, cell production, right? For cell therapies, where were the downstream analysts analysis tool for their cell production tools. And so, doing partnerships with a flow cytometry cell analysis, this is something that's interesting to us from a co-marketing basis, at the very least, just given the complementarity of the two solutions. And the fact that, our -- when we launched our technology in May 2018, it was considered, pretty novel to look at cells, and look at this new dimension of cell proteomic behavior for every single cell. But I think now with all the publications and everything, more and more traditional flow labs are representing our pipeline. And I mean, they're saying, well, I can get a deeper dimension of information for every one of my phenotypes that I look at on my flow cytometer. The last thing I'll say is, we hope to be able to be successful, looking at more surface markers per cell on our existing instruments. And, we'll come out with more information as we have it, that that becomes really attractive to flow that too, because a lot of them are trying to map what we do on to the traditional sort of flow, surface marker phenotyping tools, and you offer more surface marker phenotypes from let's say, immune cells, meaning you get more, you kind of getting more value, for every run, you're getting multiple cell phenotypes per run, plus all the additional cell output proteins that we offer. That's -- we've done voice of customer, that's a pretty exciting proposition. So I think, I think the complementarity versus slow is going to continue and that that's market progresses, that's just going to be an attractive market for us.
Max Masucci : Okay, great. Thanks for taking all my questions.
Sean Mackay: Thanks.
Operator: Thank you. And our next question coming from Puneet Souda with SVB Leerink. Your line is open.
Puneet Souda: Yes. Hi, Sean. So first one is, I mean, really is around the overall guide. I mean, you have lowered your revenue estimates earlier in the year. And then you had, obviously, reduce your workforce by 20%, which you announced earlier, now, this is a 35% reduction. Obviously, the revenue numbers have missed again, and you're lowering the guide. And the install base is again, coming in, meet install base is coming in much lower versus US industry? And then you're delaying the launch of duomic, which is an exciting product, and maybe customers are more likely to get excited about that. And 2023, I mean, at least in second half this year, and next year. So, with all that, when we look at IsoLight, nice, as far as very much in the sort of the early stages in the market, it appears that you need more marketing and a lower awareness of these products to drive them into the lab. So, I'm just trying to understand why is 20% growth number for 2020 to the right number, given some of the challenges that you're seeing in the market? And what does this mean for, sort of 2023 grout? Maybe just talk to us about that. And then wondering, if you can provide install expectations for this year as well?
Sean Mackay: So I think there's a few things right, because, just -- when you think about the opportunities we have, what I'll do is I'll talk a little bit about sort of who we are as a company. John, I think we'll talk a little bit about sort of some of the basis for 2022, 2023 as well. The reasoning is just voice a customer, right? When it comes to Duomic versus CodePlex, the Duomic opportunities for multi-omics is simply put right entering a timing in the market where Yes, there were some exciting data. But if you went to HBT, there were so many multiomic and spatial multi-omics solutions. That I think when we talk to customers, what we were hearing is, yes, I'm going to demo x many number of systems next year that are all kind of coming out concurrently. It's a little difficult to understand the features, benefits and all the differences. And there are multiple companies are coming out with multiple making facial products together. And I think that's a for a business where we take we don't sell right to sequencing markets, first of all, and second of all, even companies that do I think that's a highly complex area right now. We felt far more positively about the business opportunity of selling into people that traditionally do immunology to care about proteomics, right and that they basically run cells and proteomics every day. So I'd say the focus on CodePlex is just, we did a lot of voice a customer and people are really excited about, labor constrained market where pharma and biotech are still very labor constrained. We're offering effortless automation for multiplex proteomics, differentiated I think that's exciting to customers. And so like, we're, we're excited about that opportunity. We're always cognizant that, I think like you said, in this stage of the company's lifecycle, we have to choose our really choose our battles wisely. And so focus and simplification is really important to us. So that's, that's essentially why CodePlex represents such an exciting opportunity. I think for, 2022 and the cell analysis business, I think we sort of explained the what's changed, right. And I think, I mean, it was probably difficult for a number of companies in our space to sort of predict the China lock downs. And the sort of European slowness and I suspect, right, that, we'll be in a position at some point in those two markets to continue what we had is growth, we had a really exciting pipeline in China, it's just tough to actualize things like people that put a budget for our system and tenders and stuff like that, when people can't actually sort of see each other. What I think? I think the cell analysis opportunity is only increasing, we see the same thing. I mean, we that's part of why we see the 20% growth still based on our IsoCode, businesses being sort of realistic, despite the headwinds that we've experienced so far. John, you want to talk a little bit about, Q4 of this year, and as well as 2023 next year.
John Strahley: Yes. Puneet, I think you asked about the placement. So with this morning's read guide, we are -- we do anticipate 110 total placements for the year. So it's 25 in the first quarter 20 this second quarter. So 110 for the year, and we do see Q3, Q4 breaking down, and it's, on the placements about 40% 60%. And, as Sean, describe, we feel good about, with things in China progressing as well as just our own internal execution, we feel better about, continuing the ramp into 2023. Sean talked about the CodePlex launch that's slated early 2023. So that helps, we think not only drive instrument sales, but also drives our consumable pull through. So that's an important part of our model also helps drive the gross margin expansion. One other thing I think, worth noting, it's a smaller line item in our revenue mix at the moment, but one we're working hard on to increase, and that's the service side of the business. And so that's two pieces, that's both service contracts, on the instruments as they come off warranty. So we've got an increasing installed base to sell those contracts. And we see that growing as a highly profitable, more annuity, like revenue stream for us, as well as more customers, running, running samples on our instruments as a service. So, we see that growing, and at this moment, Puneet, I'm going to fall a little short of just giving, sort of guidance for next year. But, we see for all the reasons Sean and I just described here, we're looking at substantially higher growth rates than, this 20% implied this year, which again, just reacting to, all the facts and circumstances that that we have.
Puneet Souda: Okay. That's helpful. I think customer facing salesforce is an important question, at least definitely in North America and Europe, probably as well. So just wanted to clarify, I mean, where do you stand on that number that number was 50 customer facing individuals as of the Q1. Can you just elaborate where you stand there? And, I appreciate the focus on gross margin and service, but those are some of the things that, life sciences tools companies are talking about more, once they have driven significant installed base into the market. The awareness of the product is high. So I appreciate you're trying to do this right now. But I'm just also just trying to understand, the marketing -- sales and marketing efforts that you have ongoing. Should we expect those to moderate? I mean, given the OpEx guide that you're providing, should we expect those to sort of moderate, I'm just trying to understand it, obviously, given the stage of the product, you have to drive the adoption of this product before. You can start to see leverage from volume and competition among suppliers and whatnot to deliver on that gross margin. Thank you.
Sean Mackay : Yes. So we see path to profitability -- just, we obviously converse with investors all the time. We see path to profitability is very important. Like, let me just say that I think we see gross margin is very important, right, and gross margin improvement, we're really focused on it. We have 120 member of commercial team, right. So if you think about fit for purpose. We talk a lot about fit for purpose. And that's, I think our team is fit for purpose. We have -- right now we have of those 120 folks, we have 50 customer facing sales and FAS team members. So that combines basically like the way we position it and the way we think about, again, being productive with sort of sales and FAS, and frankly, in some degrees creating when they go out, and they own their regions, creating somewhat of a profit center. We look at that split as being important for us to be able to, one, communicate awareness, and two, to drive that revenue. I think, like, when you think about companies that are trajectory, there's a lot of high impact publications coming out from our products all the time. And I think that's an important thing. And it's tough to deny when you see that data are a key figure out there. I think the other thing is we've never lacked, like, if you look at like things like, perhaps they're arbitrary, but LinkedIn followers, we tend to have a lot of people following what we do. So broad line awareness at the top level of our unique new dimension to sell behavior, I think a lot of it comes down to what the focus of the business has to be. And I think, frankly, just the focus of the business has to be profitable, productive behavior from our commercial team. And the broader awareness for our technology continues. And then simply blocking and tackling, I know a lot of it what it comes down to is day-by-day, stage gated management of the funnel and sort of making ourselves successful by executing and then delivering both the instrument and the consumable usage that that we're looking for, and that our products are frankly capable of with the customers that we have.
Puneet Souda: Okay. Thank you.
Sean Mackay : Thanks, Puneet.
Operator: Thank you. Now last question coming from the line of Tejas Savant from Morgan Stanley. Your line is open.
Tejas Savant: Hey, guys, good morning. And thanks for the time here. Sean, maybe to kick things off, I don't want to flog a dead horse here. And this come up multiple times on the call, but just given the visibility issues here and succession of guidance cuts, what really kind of gives you the confidence that this is the bottom and things are going to get sort of incrementally better from this point on. And sort of related to that, why not consider giving just a next quarter guide, at least for the time being until things stabilize versus laying out some of these annual guides or perhaps qualitative commentary on 2023. And then having to walk back those expectations given the size of the company, given the tough macro backdrop that you've spoken about here?
Sean Mackay : Yes, no, I think there are a lot of tough macro backdrops. I don't think we're unique to that. I think that you understand that the world is sort of in a different place than it was. So given that the best thing we can do, and the best thing that we have ahead of us is sort of what we can see in our pipeline, and how we can execute according to our pipeline. So I think the second thing is, when we look at our pipeline, and we look at what's available with the cell analysis business with full cognizance of what you just said, what we see as an opportunity to sort of continue along the lines of what John Strahley alluded to, as far as advancing the installed base, and sort of leveraging who we have the repeat purchasers that we do, and continuing. And finally, I realized you're speaking sort of primarily to the top line, but I'll say like when you talk to a lot of investors in the market, they're actually focused on OpEx, right? They're actually focused on, are we going to put our business in a good position to actually be profitable. And I think that that's a really important thing, right? And I think gross margins are really important. And so I'd say, look, we -- as John talked about, we reduced sort of the operating expenditures, excluding the restructuring charges by about 26%, we're about to continue doing that. And that's going to put ourselves in a position to sort of be a healthy business, as we sort of exit times that are for some degrees, macro-economic uncertainties and give us the chance to have a differentiated sort of personalized lab approach with the -- with our benchtop systems.
Tejas Savant: Got it. On Europe, how much was FX playing into sort of customers, I guess, delayed purchasing decisions? And is there anything you can really do in the near term to help address some of those issues?
John Strahley: We didn't see the FX issue as really slowing our -- I mean, it's a smaller part of the overall revenue to begin with. We just saw it-- I'm sure it's part of it. I'm confident, Tejas, but not as a direct sort of obstacle. And so I think, what are we doing about it sort of the same types of things that we're doing in America and in APAC, and that's daily management, funnel management, advancing opportunities and addressing the various sales obstacles as they're presented.
Tejas Savant: Got it. Okay. And so, is there a catch up dynamic to be thinking about you're in the back half of the year, particularly for these delayed purchases are just sort of too early to really tell?
Sean Mackay : Yes, I mean, I would just call it there's a little bit of a procurement dynamic, where procurements going slower, but that can get in -- so we experienced those in Q3, where procurement was slower, but that dynamic could persist, right? So meaning its persist in the next quarter. And so I'd say, probably too early to tell as far as catch up dynamic, we're not necessarily factoring that in to John's guide.
Tejas Savant: Got it. Okay. And then John, how are you thinking about sort of sales force productivity are right? You've done the risk, you call that about 120 people in the commercial team, obviously, the placement run rate needs to improve your -- but how are you sort of like -- what are the metrics, I guess, that you're putting in place or talk to us about some of the incentive structures that perhaps have evolved over the last few months here to make sure that those productivity metrics trend higher?
Sean Mackay : Yes, no. I -- for one, what we see is an improvement in the early stage of the pipeline, a lot of the metrics we have focused on are there some baseline activity metrics, and there's basically on a per regional basis, a certain number of instrument quotes, a certain number of new instrument opportunities we expect to see every week, and we manage daily towards those goals. And so while we're not going to call out exactly what the pipeline looks like, that's at the very least, what gives us the understanding that they're passing through what we call, our stage-gated. We have five stages. We have enough in Stage 4 of the process, meaning it goes Stage 1, Stage 2, Stage 3 is when we kind of we have our chart of questions that allow us to know that it's likely to move forward to purchase. We have enough in Stage 4. And we have enough sort of early stage opportunity creation, to position us for Q4 that that's basically what gives us or feel -- makes us feel good about the numbers that John put forward. So a lot of the metrics come down to just simple activity based metrics, whether it's like lead conversion, or it's meeting per week, and then it's baseline metrics on, are we filling the top of the funnel, and progressing enough through to Stage 4, Stage 5 so that we can actually mean and beat these instrument numbers and John's putting out. On a consumable basis, a lot of it comes down to just our ability to engage with customers nationally and internationally on a regular basis. So it's about our funnel in that respect is number of experiments planned, right? So it comes down to pretty simple. The more number of experiments planned you have at the top of the funnel, the more we can convert to consumable sales people use it, you sort of refresh that as people get great data, published presented to their bosses, et cetera, et cetera and creates a virtuous circle in some respects.
Tejas Savant: Got it. And then final one for me on CodePlex, so helpful color there. Thank you for that on the 20,000 lab opportunity and potentially sort of 100 million in sales, or TAM, I guess, associated with it. Help us sort of translate that into what it could mean for blended pull-through Sean. I mean, we are, I think you mentioned sort of low 30s embedded in the guide this year. We probably have that somewhere in the 50s zip code for next year and CodePlex will be incremental to that. But how are you thinking about that ramp over the next couple of years your as that offering matures?
Sean Mackay: We do think of it as an incremental in some respects, like if you go to some of our, like, when we talk to some of our pharmas that use our systems and then purchase five, six, seven systems in the last couple of years and we did the with the customer what we do know is people love things that eliminate the labor constraint or labor technician training that's going on with a high turnover, biotech biopharma market right now just given -- it's not abated, right let's call it the, the importance of the cell therapy, immunotherapy market and the importance of hiring people from those companies. And they're jumping around to sort of take advantage of these opportunities. So, I we will we look at is CodePlex will play an important incremental role. We're not going to call it exactly how much on top of let's say the current year I suppose guidance, but it will play an important incremental role on a per instrument bases into the end of next year.
Tejas Savant: Got it helpful. Thanks, guys. Appreciate the time.
Sean Mackay: Thanks Tejas.
Operator: Thank you. And I'm showing no for showing no further questions at this time. Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect. Good day.